Operator: Good afternoon. My name is Gabriel, and I’ll be your conference operator today. At this time, I would like to welcome everyone to the Planet Fitness Fourth Quarter 2018 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Mr. Brendon Frey, you may begin your conference.
Brendon Frey: Thank you for joining us today to discuss Planet Fitness’ fourth quarter 2018 earnings results. On today’s call are Chris Rondeau, Chief Executive Officer; and Dorvin Lively, President and Chief Financial Officer. A copy of today’s press release is available on the Investor Relations section of Planet Fitness’ website at planetfitness.com. I would like to remind you that certain statements we will make in this presentation are forward-looking statements. These forward-looking statements reflect Planet Fitness’ judgment and analysis only as of today, and actual results may differ materially from current expectations based on a number of factors affecting Planet Fitness’ business. Accordingly, you should not place undue reliance on these forward-looking statements. For a more thorough discussion of the risks and uncertainties associated with the forward-looking statements to be made in this conference call and webcast, we refer you to the disclaimer regarding forward-looking statements that is included in our fourth quarter 2018 earnings release, which was furnished to the SEC today on Form 8-K as well as our filings with the SEC referenced in that disclaimer. We do not undertake any obligation to update or alter any forward-looking statements whether as a result of new information, future events or otherwise. In addition, the company may refer to certain adjusted non-GAAP metrics on this call. Explanation of these metrics can be found in the earnings release filed earlier today. With that, I’ll turn the call over to Chris Rondeau, Chief Executive Officer of Planet Fitness. Chris?
Chris Rondeau: Thank you, Brendon, and welcome to Planet Fitness’ Q4 earnings call. 2018 was a banner year for Planet Fitness and I’m extremely pleased with the strong results we delivered. We round out 2018 with a fantastic fourth quarter, highlighted by double-digit same-store sales increase of 10.1% for a 3-year stock comp of 32.2%. This also marks our 40th straight quarter of posting positive same-store sales comps, which is truly incredible. Adjusted net income per diluted share grew 42% to $0.34 compared with $0.24 in the prior year period. And for the quarter, net member growth contributed to over 70% of the increases in system-wide same-store sales. Reinforcing that our differentiated in the form of Planet Fitness continues to resonate with consumers. For the full-year comps increased 10.2% for the second year in a row. And we added approximately 1.9 million net new members to end 2018 with approximately 12.5 million member system-wide. What’s remarkable about these figures is that we believe our affordable and non-intimidating approach to business is expanding the overall health and fitness market evidenced by the fact that 35% of our new member joined identify as first time gym members. Given that tremendous success over the past several years, we’re confident there is still a long runway to growth into the future. We are continuing to thoughtfully and aggressively expand our presence and we still have the opportunity to more than double our domestic store footprint. In 2018, we opened 230 new stores system-wide, which included selling and placing equipment in a record 228 new stores. This growth is led by our passionate and proven well-capitalized franchises who continue to reinvest in their businesses by opening stores in both new and existing markets. Of the 230 new store openings in 2018, 226 were franchise stores and 4 were corporate stores. And we ended the year with 1,742 stores system-wide. The makeup of our franchise system is also a competitive advantage for us. With more than 90% of our growth coming from existing franchises, opening more stores, we know that they understand and believe in the model and can run our playbook and our strong operators. We also have more than 10 franchise groups who have partnered with private equity to accelerate their growth, build out their systems and leadership teams as they scale their businesses. The sophistication of our franchise system combined with our franchisees' passion for our mission and boost growth plans continues to set us apart from other franchise brands. Looking ahead, real estate trends appear to remain in our favor as many bricks and mortar retailers continue to close stores and landlords are increasingly looking to Planet Fitness as key tenants who drive traffic to their centers. In addition, we are also working with a variety of retailers who are looking to downsize their boxes in markets, where we’re looking to expand our presence. And an effort to better capitalize on our growing availability of real estate, we’ve hired a handful of our own in-house real estate brokers to work with our franchises locally on sourcing and securing premium sites. Based on our investments we have made and our franchise support teams, the strength of our business model and our franchisee increasingly bullish growth plans combined with favorable real estate trends, we are increasing our new equipment sales and placement target in 2019 to approximately 225, up from the roughly 200 we targeted at the start, the past few years. Also fueling our confidence in the future is our large and growing advertising budget. Through our national and local advertising funds, we spent approximately $175 million on our collective marketing efforts to highlight our unique judgment free environment that caters the casual, the first time gym goers versus avid exercisers like traditional gyms, up from $130 million in 2017. 2% of every members monthly dues allocated to the National Ad Fund, while 7% goes towards local marketing. With every new incremental number, our market machine gets bigger. This is a huge competitive advantage for us and allows us to run our memorable [ph] and television ads nationally, exploring new brand partnership opportunities and continue sponsor marquee events like the Times Square Iconic New Year's celebration for the fourth year in a row. New for 2019, New Year's Eve celebration, we expanded our presence on both coasts in New York City and LA with increased branding celebrity integrations. I had the pleasure of attending the event in person this year, and I could tell you that the rate did not put an end for a celebration. Times Square was a sea of purple and yellow, and with 1 million revelers on site and a billion viewers TV worldwide, were exposed to our brand. Speaking of exposure, results from our annual brand health survey continued to show Planet Fitness ranking number one in brand awareness in the gym category. Our marketing efforts remain focused on reaching new consumers and engaging with existing customers. Currently millennials make up our largest demographic and we believe we’re well positioned to capitalize on opportunities with Gen Z. And even larger generation that follows millennials and makes up approximately 26% of the U.S population according to Nielsen data. Team Summer Challenge pilot program, which allowed New Hampshire high school teams ages 15 to 18 to look up Free All Summer was extremely successful in health introduced members of Gen Z and their parents to our brand, build loyalty and affinity. Providing you with the free access to fitness, not only addresses the importance of file need to help teams get active and increase their overall health and wellness, we believe that it is also a great opportunity for our brand in the long run. And we look forward to potentially expand this program nationwide this summer. Switching gears now to an update on our connected equipment test from our three suppliers in 15 stores. The plan is to implement the initial test learnings ahead of expanding the test to additional locations later in the year. Early member feedback includes a desire for enhanced fitness functionality. For example, the ability to attract progress over time, receive recommendations on what to do next and to see how the results stack up against others. While many have logged onto our TV, having access to Amazon, Facebook, and Netflix etcetera has not been a top priority. In the second quarter, we will begin launching our new proprietary Plant Fitness app, which will give us the opportunity to influence the mobile member experience via enhanced functionality and design. Release 1.0 will include streamlining, existing functionality, including members of digital keytag, workout tracking and the ability to find a club and join, along with several new features. We also recently completed our first member segmentation study and looked at usage and membership insights to learn more about our members behavior at the gym. At the same time, we conduced customer journey mapping work to better understand the needs and desires of our members within each segment, and how Planet Fitness can deliver against them. The intersection and outcome of this work will help to show to delivery and increased personalized member experiences. We are encouraged by the first steps we've taken towards delivering in more personalized and connected fitness journey to our member via our equipment enhanced mobile app, which we believe will further differentiate our concept to strengthen our offering with causal first time gym goers. Finally, we continue to support additional brand partnership opportunities outside of the store that could provide discounts to members on a wide variety of products and services. With approximately 12.5 million members, we believe we can leverage our size and scale to provide additional value and further enrich our members lives. In closing, 2018 was another very successful year for Planet Fitness. On top of the strong financial results we achieved, I'm very pleased that the hard work of our franchises, club staff and corporate employees continues to be recognized by leading publications such as Newsweek, which named Planet Fitness number one in customer service among fitness clubs. We also placed 7th in Entrepreneurial magazines, Annual Franchisee by 100 ranking, the highest with any fitness concept. Never before has there been so much opportunity for Planet Fitness brand and our low cost high value offering. Our platform is built to support multiple growth vehicles, including more than doubling our U.S footprint to 4,000 stores, developing an enhanced digital offering to enhance members experience and expanding our affinity network. With our great group of franchises, passionate teams throughout the organization in growing marketing machine, I'm confident as ever that the company is strongly positioned to continue to grow the overall health of fitness market for years to come. Board of Directors is also extremely confident in our future, evidenced by the decision to increase our buyback authorization to 500 million in last August, which we acted on aggressively through the $300 million accelerated share repurchase program we entered into November. With that, I will turn the call over to Dorvin.
Dorvin Lively: Thanks, Chris, and good afternoon, everyone. I will begin by reviewing the details of our fourth-quarter results, highlights from 2018 and then discuss our full-year 2019 outlook. For the fourth quarter of 2018, total revenue increased 30.1% to a $174.4 million from $134 million in the prior year period. Total system-wide same-store sales increased 10.1%. From a segment perspective, franchise same-store sales increased 10.1% and our corporate same-store sales increased 9%. Approximately 70% of our Q4 comps increase was driven by net member growth with the balance being rate growth. The rate growth was driven by 30 basis point increase in our Black Card penetration to 60.1% compared to last year, combined with a $2 increase in Black Card pricing for new joins, that was put in place system-wide on October 1, 2017. During the quarter, the increased Black Card pricing drove approximately 300 basis points of the increase in same-store sales. Our franchise segment revenue, which beginning in 2018 now includes national advertising fund revenue with $56.6 million, an increase of 41.4% from $40 million in the prior year period. Let me break down the drivers for the quarter. Royalty revenue was $38.5 million, which consists of royalties on monthly membership dues and annual membership fees. This compares to royalty revenue of $27.1 million in the same quarter of last year, an increase of 41.8%. This year-over-year increase had three drivers. First, we have 210 more franchise stores since the fourth quarter of last year. Second, as I mentioned our franchisee owned same-store sales increased by 10.1% and then third, higher overall average royalty rate. For the fourth quarter the average royalty rate was 5.8%, up from 4.8% in the same period last year driven by more stores at higher royalty rates including stores that amended their existing franchise agreements to increase the royalty rate instead of paying certain fees and commissions as I will discuss below. At the end of Q4 we had approximately 86% of our store based no longer on the commission structure compared to approximately 60% in the prior year period. Next our franchise and other fees were $3.5 million compared to $6.4 million in the prior year. These fees are received from processing dues through a point-of-sale system, fees from online new member sign-ups, fees paid to us for new franchise agreements and area development agreements as well as these related to the transfer of existing stores. The decrease was primarily due to the number of stores that have amended their existing franchise agreements to increase the royalty rate instead of paying these fees just mentioned. In addition the change in how we recognize ADA and FAP revenue was about $0.7 million headwind in Q4 of this year compared to the prior quarter. As we outlined previously, we now recognize these fees over the life of the agreement versus at the time the related franchise agreement and lease is signed. Also within franchise segment revenue is our placement revenue, which was $3.8 million in the fourth quarter compared to $4 million last year. These are fees we received for assembly and placement of equipment sales to our franchise owned stores. Our commission income, which are commissions from third-party preferred vendor arrangements and equipment commissions for international stores was $1.6 million compared with $2.5 million a year ago. The decrease was primarily attributable to the number of stores that have amended their existing franchise agreements to increase the royalty rate, instead of paying these commissions as just discussed. Finally, national advertising fund revenue was $9.2 million compared to zero last year as the new GAAP rules related to how we account for NAV contributions went into effect on January 1, 2018. As a reminder, prior to this year, the net contributions really only had an impact on the balance sheet due to recent accounting changes we now recognize these contributions as revenue and record the expenses associated with the national ad fund as marketing expenses. Our Corporate Onshore segment revenue increased 28.4% to $36.2 million from $28.2 million in the prior year period. Of the $8 million increase, $4.5 million was driven by the 10 franchise stores we acquired in Long Island and Colorado earlier in the year, $1.6 million was due to primarily the four new corporate stores we opened in late 2017, and to a lesser extent, the four new corporate stores opened in the second half of 2018, and $1.9 million was driven by corporate owned same-store sales increase of 9% as well as increased annual fee revenue. Turning to the Equipment segment. Revenue increased by $15.8 million or 24% to $81.6 million from $65.8 million. The increase was driven by higher replacement equipment sales to existing franchisee owned stores. For 2018, replacement equipment sales were 44% of our total equipment sales compared to 38% for the prior year. Our cost of revenue, which primarily relates to the direct cost of equipment sales to franchise owned stores amounted to $62.5 million compared to $50.9 million a year-ago, an increase of 22.9% which was driven by the increase in equipment sales during the quarter as discussed above. Store operation expenses, which are associated with our corporate owned stores increased to $19.9 million compared to $15.3 million a year-ago. The increase was driven primarily by costs associated with the 10 new stores we acquired in 2018 and the opening of the 4 new stores in the second half of 2018, including preopening expenses. SG&A for the quarter was $20.4 million, up 15.5% compared to $17.7 million a year-ago driven by incremental payroll to support our growing operations and higher variable and equity compensation. National advertising fund expense was $9.6 million more than offsetting the aforementioned NAF revenue of $9.2 million we generated in the quarter. Our operating income increased 24.8% to $52.7 million for the quarter compared to operating income of $42.3 million in the prior year period. Operating margins decreased approximately 130 basis points to 30.2% in the fourth quarter of 2018. This decrease was driven by the gross up on the income statement from the NAF revenue and the NAF expense I mentioned earlier, which negatively impacted operating margins by approximately 170 basis points compared to a year-ago. On an adjusted basis, excluding certain one-time costs and the impact of NAF revenue, adjusted operating income margins increased approximately 10 basis points to 32.5%. Our GAAP effective tax rate for the fourth quarter was 15.6% compared to 99.8% in the prior year period. As we have stated before, because of the income attributable to the non-controlling interest, which is not taxed at the Planet Fitness corporate level, and any discrete tax items recorded during the period, such as the impact of tax reform or state tax rate changes, an appropriate adjusted income tax rate for 2017 was approximately 39.5%, if all the earnings of the Company were taxed at the Planet Fitness, Inc. level. For 2018, following the passage of tax reform in late 2017, an appropriate adjusted income tax rate would be approximately 26.3%. On a GAAP basis, for the fourth quarter of 2018, net income attributable to Planet Fitness, Inc. was $24.8 million or $0.29 per diluted share compared to a net loss of $3.5 million or $0.04 per diluted share in the prior year period. Net income was $28.8 million compared to $0.8 million a year-ago. On an adjusted basis, net income was $32.5 million or $0.34 per diluted share, an increase of 38.1%, compared with $23.5 million or $0.24 per diluted share in the prior year period. Adjusted net income has been adjusted to exclude non-recurring expenses and reflect a normalized tax rate of 26.3% and 39.5% for the fourth quarter of 2018 and 2017, respectively. We’ve provided a reconciliation of adjusted net income to GAAP net income in today's earnings release. Adjusted EBITDA, which is defined as net income before interest, taxes, depreciation and amortization, adjusted for the impact of certain non-cash and other items that are not considered in the evaluation of ongoing operating performance increased 21.6% to $62.3 million from $51.2 million in the prior year period. A reconciliation of adjusted EBITDA to GAAP net income can also be found in the earnings release. On an adjusted basis and excluding the impact of NAF revenue, adjusted EBITDA margins decreased approximately 50 basis points to 37.7%. The year-over-year decrease in adjusted EBITDA margin have three drivers: first, the higher SG&A expenses mentioned in my earlier comments; second, higher losses from foreign exchange rates, reducing margins by approximately 25 basis points; and third, higher NAF expense, as a result of the timing of NAF expense exceeding NAF contribution revenue reducing margin approximately 25 basis points. By segment, our Franchise segment EBITDA increased 21.1% to $38.8 million, driven by higher royalties received from additional franchise owned stores not included in the same-store sales base, and an increase in franchise owned same-store sales of 10.1%, as well as a higher overall average royalty rate. Excluding NAF revenue, our Franchise segment adjusted EBITDA margins increased by approximately 100 basis points to 82.1%. The increase in adjusted EBITDA margin was due to the 18.4% increase in revenue, excluding NAF, partially offset by the higher SG&A cost discussed above and the net NAF expense reducing margins by approximately 90 basis points due to the timing mentioned above. Corporate Owned Store segment EBITDA increased 29.4% to $14.6 million, driven primarily by the 9% increase in corporate same-store sales, higher annual fees, the 10 franchise stores we acquired in 2018, and the 4 stores we opened in late 2017. Our Corporate Store segment adjusted EBITDA margins decreased approximately 20 basis points to 42.5%. The decrease in margin was two-fold. First, the impact of the 4 new stores opened in 2018 decreased margins by approximately 100 basis points, as a result of the expected new store ramp; and second, higher losses on foreign exchange rates, which reduced margins by approximately 120 basis points. Partially offsetting these reductions were increased margins of approximately 200 basis points across the remaining stores due to the increase in same-store sales of 9%, increased margin from the 10 acquired stores of approximately 10 basis points, and increased margins from the 4 new 2017 stores of approximately 30 basis points, due to their expected ramp. Our Equipment segment EBITDA increased 27.3% to $19 million, driven by higher replacement of equipment sales to existing franchise owned stores versus year-ago. Our Equipment segment adjusted EBITDA margins were 23.3%, up 60 basis points from 22.7% a year-ago. Turning to the full-year, let me quickly summarize the highlights for 2018. Revenue increased 33.3%, system-wide same-store sales were up 10.2%, on top of a 10.2% increase in 2017. Our average royalty rate for the year increased 136 basis points to 5.61%. Corporate store same-store sales increased 6.5%. Equipment segment revenue increased 25.3%, which included a record 228 new store equipment sales. Our adjusted EBITDA increased 20.8% to $223.2 million and our adjusted net income was up 45.3%. Now turning to the balance sheet. As of December 31, 2018, we had cash and cash equivalents of $289.4 million and undrawn borrowing capacity under our variable funding note of $75 million. During the fourth quarter, we entered into a $300 million accelerated share repurchase agreement with Citibank. Pursuant to the terms of the agreement, we retired approximately 4.6 million shares, which is approximately 80% of this year as we expect to repurchase under the ASR. We expect the ASR to be completed by no later than the second quarter of this year. As of 2018, approximately $158 million remained of the $500 million share repurchase plan that the Board approved in August of last year. Total long-term debt excluding deferred financing cost was $1.2 billion at the end of Q4 consisting solely of our whole business securitization, which includes $575 million of 4-year notes due in September of 2022, with a fixed interest rate of 4.262% and $625 million of 7-year notes due in September of 2025, with an interest rate of 4.666%. Let me discuss our CapEx for the year. With respect to cash used in investing activities, our total net spend in 2018 was approximately $86 million, which included approximately $46 million for the 10 franchise stores we acquired in Long Island and Colorado, driving $4.5 million of additional revenue in 2018. Additionally, we incurred approximately $10 million for 4 new corporate stores, $3 million for replacement of equipment of our corporate store base, and $5 million for a building and land purchase related to an existing corporate store. We incurred approximately $9 million on IT infrastructure investments and the remaining expenditures were primarily associated with corporate store renovation projects. Now to our outlook for 2019. For the year ended December 31, 2018, we currently expect the revenue to increase approximately 15% over 2018 levels, driven by same-store sales growth in the high single digits, and the sale of -- and placement of equipment in approximately 225 new stores. We anticipate that replacement equipment sales to be slightly under 50% of our total equipment sales in 2019. While the number of new store equipment sales and placements for 2019 is projected to be similar to 2018, the quarterly cadence will be different. Based on the current timing as we see today, we expect to see an increase in the number of new store equipment sales and placements during the first half compared with last year, particularly in the first quarter and a decline in the second half with the biggest reduction on a year-over-year basis coming in the fourth quarter. Overall, we see good continued momentum coming into 2019. With respect to profitability, we currently expect adjusted EBITDA to grow approximately 20%, adjusted net income to grow approximately 18% with diluted EPS increasing approximately 25% based on the fully diluted share count of 92.4 million shares. For 2019, we anticipate CapEx to be approximately $50 million including approximately 5 new corporate stores. Compared to 2018, our 2019 spend includes approximately $10 million of additional expenditures on corporate owned stores and approximately $5 million of additional expenditures on IT infrastructure investments. I will now turn the call back to the operator for questions.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Oliver Chen of Cowen. Your line is open.
Oliver Chen: Thank you very much. Congratulations. Given the momentum that you’ve seen, how are you thinking about unit growth and the new unit growth opportunity, particularly as you see such great real estate availability, and also there are some clubs that are probably very saturated in terms of number of members. I would just love your thoughts there. And Chris, you mentioned membership segmentation in customer journey mapping as we align that with our financial models. How do you think that will play into the comp-store sales or the shrink in terms of turnover, that would be great to get your views. Thank you.
Dorvin Lively: Great. Oliver, it's Dorvin. I will take the first part of that and Chris can add to it and then take the segmentation question. I'd say that as we discussed back on the last two to three quarterly conference calls, the trends from a real estate perspective continue to be in our favor as our scale gets bigger, as we get more stores in markets, the presence of the brand, the landlords that are looking at either vacant real estate, we know them, we know the major -- the major landlords regionally end markets, we know the national big landlords, we meet with them regularly and they are looking forward to fill those -- to fill the boxes and then including stores are going to be coming off lease, whether it's in the next 12, 24, 36 months and we've also said that we continue to talk to some of the major retailers that are looking to downsize their real estate some of their boxes. I know we’ve talked about whether we would be close [ph] or someone else like that. And I think that we are the perfect tenant for that, because we do drive the traffic and we drive the traffic early in the week as opposed to the end of the week when maybe some of the other tenants are driving traffic to their centers. So I'd say, if you look -- our results for the quarter came in just slightly ahead of where we had guided the Street to at the end of Q3 based on a full-year and a pretty healthy increase over 2018. And then our guidance reflects very similar number of new units in 2019 as well. So we continue to see really good favorability on the real estate front. And then as Chris made some comments on his first part, our franchisees now are with their size and scale and sophistication are willing to put the capital work when those opportunities come up. And so in the past, maybe they are only going to do three or four a year, where now a real estate comes up, they might do 8 or 10 a year. And so that's what happens when you’ve franchisees that are sophisticated with market planning and have the talent in place to keep their pipeline in development mode. So I guess I'd summarize by saying I think real estate trends are as good as ever been and we are a tenant that a lot of these guys look to. And we see as I made in my prepared remarks, we see good trends coming on into 2019 as well.
Chris Rondeau: Hey, Oliver, it's Chris. With the customer member segment study as well as the journey mapping, it's still too early to tell we just wrapped it up, but for the first time now that we’ve done this now to figure out the segments that our members fall in, what’s the right way to communicate with them, connect with them and the general preference of how we interact with them as well as the customer journey mapping, what each of those segments really like and what’s their experiences that they really want from our brand. So, it's still early to tell, but I can only imagine when we move the needle as we learn how to communicate with these people better.
Oliver Chen: Okay, very helpful. Just last question. One question we get is your approach to Black Card pricing. You’re really offering a compelling value with Black Card pricing, but what’s your framework for thinking about future potential increases? And Dorvin, as we model the comp in the year ahead, do you expect that ratio of pricing versus member growth to be 70-30 just would love parameters around that. Thank you.
Chris Rondeau: So October of '17 was when we moved it last and that was that $2 increase we’ve talked about. That was the first time we've moved it in essentially forever. So -- and the reason for that one was reciprocity, which we had backed then by 1,500 stores, now we're north of 1,700, so it does bag the question that as we get more stores kind of reciprocity by itself push more price and I think there's some opportunity there for sure as we continue to open more stores. On top of that, as we look at the [indiscernible] experience in the technology, we are rolling out with the new app that’s coming out in second quarter and more functionality for the members, whereas content inside and outside the club maybe some nutrition components in the future. Just more options for them and services to Black Card option could also push price or acquisition or both. So that’s definitely top of mind for us. So I do think there's room probably in the future for movement for sure.
Dorvin Lively: Yes, I think on comps, Oliver, we said in our guidance, high single-digits. I think the pricing impact in '19 ought to be in the -- call it 150 bps range, that we will continue -- we’ve continued to see some of the benefit that we obviously got in 2018. But I'd say, 150 is probably a kind of a good target as to the impact on same-store sales this year.
Oliver Chen: Thank you very much. Best regards. Congrats.
Chris Rondeau: Thank you.
Dorvin Lively: Thanks, Oliver.
Operator: Your next question comes from the line of Jonathan Komp of Baird. Your line is open.
Jonathan Komp: Yes, hi. Thank you. First question, obviously, the comps look good at the system level, but the Company comps acceleration of plus 9 stands out. It might be the highest, I can recall in the model. So any more color on what’s driving the sequential improvement there for the Company comps?
Dorvin Lively: Yes, John it's -- as we talk about the maturity of the stores that go in comp in the comp base, obviously, we’ve a smaller number of total stores. But we had four new stores that came into comp in Q4 that opened up in the previous year. So that's a good piece of that, but I will say is, if you can go back and look at Q1, Q2, Q3 comps, yes, there's been continued momentum in our kind of corporate fleet base, but a good pickup in Q4 with respect to the four new stores coming in.
Jonathan Komp: Okay. Understood. And then, Dorvin, I want to follow-up on the unit outlook for the year. I can't ever recall a year that’s been front weighted in terms of the openings. So I wanted to maybe dig in a little bit more and understand why you see that as being the case this year. And is there any opportunity, I know there's a fairly short lead time, but as we look to the second half openings, is there any potential to sustain some of the momentum you are projecting in the first half?
Dorvin Lively: Yes, it's -- obviously we got line of sight into the nearer term. I’ve always told you guys that roughly speaking, getting on the lease and negotiating lease, if you take kind of the ups and downs of spectrum out is probably five, six month time period. It depends on turnover from the landlord, but probably a good timeframe is about three months, about 90 days, give or take on, if you get a good plain vanilla box and the town's [ph] not too restrictive on permitting, etcetera. So what we’ve always said is we’ve a pretty good line of sight into call it the next four to six months, knowing there will be some fallout, there will be some delays and then there could even be some that that might hit the stride and come in on the shorter end of the timeline. But I think I will go back to part of my question that -- my answer to the question earlier is that, we’ve got enough of large franchisee groups today where it's not just the franchisee that’s running the store, running the back office, doing real estate deals etcetera. And so, a lot of these franchisees are extremely talented management team and have built out various functions, including the real estate development teams. So -- and as you know, Jon, a lot of the bigger guys have multiple ADAs maybe across different states. So their level of really working their pipelines and the private equity guys that got in there, they are not looking to slow down growth, and so they are obviously working with their teams as well. So, yes, all these larger groups that are working the development side and sometimes it's just pure timing. It's -- you are working on two or three sites and you hope one or two come together and three or four come together at the same time and maybe a market etcetera. So, we got good line of sight into the front end of the pipeline here and the franchisees are very excited and continue to invest their cash flow in the business, lesser into the back end. But when you’ve franchisees that are building a higher percentage of their required number of development stores in the first half of the year, it depends on how they kind of fill out the back-end pipeline as well, but we feel good about that, call it 225 that we mentioned in our guidance. But we see that being more front-end loaded than back-end and especially Q1, which is -- it just shows you that the trends are good and taking advantage of the real estate with our great development franchisees out there.
Jonathan Komp: Okay, excellent. And then maybe last one, just for Chris. I wanted to ask specifically about some of the marketing spend, opportunities that you see. And I guess, first of all, is there anymore initiative to make sure that the local advertising requirements are being spent by the franchisees? And then, secondly, any updated thoughts on, if you might go to the franchisees and look at that national versus local mix at some point?
Chris Rondeau: Yes, we’ve initiated with what we call the spin tracker, I think was earlier last year, which we are now getting the spends from the franchisee. So we now have a visibility on their spending at the club level. So that’s good that we know now what they're doing. So -- but I think to that question, we get that a lot is, if and when we will be able to say, okay, it's at 9% in total, right, 2% national, 10% local. Could we actually flip that in the future and I think we will get economies of scale if we were to do that in the future. I think as we continue to develop stores here in the Northeast, we were almost 6% of the population of the member, but we are lot less penetrated at West. So I think as we get more coverage and more national advertiser can play a bigger part, I think then you're right, I think you start flipping some of that over for sure.
Jonathan Komp: Okay, great. Thank you very much.
Chris Rondeau: Thanks, Jon.
Dorvin Lively: Thanks, Jon.
Operator: Your next question comes from the line of John Heinbockel from Guggenheim Securities. Your line is open.
John Heinbockel: So two things. If you think about the 2019 marketing spend, right, which will be north of $200 million. What will be different this year if anything -- one or two things compared to a year-ago in terms of how you spend that money different focuses, etcetera. And then, Chris, you said, potentially expand the Teen Summer event. Is there anything holding that up or is it, it's just a question of how broadly you want to expand it?
Chris Rondeau: Not too much really holding up, just make sure all our ducks [ph] in a row. I want to see Summer Challenge with all the franchisees. So we’ve all the right levers to push so that we can get the big splash we are intending. And to your first part of the question. Again, that’s another initiative that will be part of that marketing spend increases, how do we launch that, that Teen Summer challenge. If you extrapolate that nationwide compared to result from New Hampshire, it should be over 1 million teams that would be active over the summer. So it is definitely a good way to build a profanity, as well as introduce the younger generation to fitness and wellness hopefully for the first time. More digital this year is also -- we do more digital each year. And I think that in the IPO we've talking about, we really starting to do digitally at all, back 2.5 years, and 3.5 years ago now. So definitely more digital spend as far as the market is concerned.
John Heinbockel: Secondly, if you think about what we’ve talked about the non-club right Black Card opportunity for a long time. Are you starting to get with 12.5 million members more interest from other potential partners, right? Who see that as big enough, where it's worth their while and yours?
Chris Rondeau: Yes. So we run in Roger Chacko, who is a Chief Commercial Officer last summer, which is a much broader role which is Chief Marketing Officer. So that's part of his plan, and we actually have someone in charge to work under him, that is in charge of just partnerships. Another one on top of like we did the 800Flowers done for couple of years. The Audible -- Amazon's Audible, we did it and recently we just launched with the Black Card members, where they get discount vacations through ILG, the Interval Group. So, again, leveraging our size and scale to gain partnerships to give more value to that Black Card membership, or even all memberships for that matter.
John Heinbockel: Okay. Thank you.
Chris Rondeau: Thank you, John.
Operator: Your next question comes from the line of John Ivankoe of JPMorgan. Your line is open.
John Ivankoe: Hi. Thank you. Firstly, just like a clarification, if I may. Are the legacy Black Card pricing members or Black Card members still locked in at that 1999 price point or is there some flexibility that's being taken market-by-market?
Chris Rondeau: Yes, they're grandfathered, we let them stay at their older rate. The one thought there also was which we haven't seen an increase just yet, but does that help some stickiness with the older generation members in a sense that, if they cancel that membership, they never get that rate back. So we haven't seen any real significant change there in the retention of those people, yes, but they are grandfathered in the system when they joined.
John Ivankoe: And I think the percentage of Black Card, it is ticking up maybe a little bit, but year-over-year, I think it's within a 100 basis points or so. Are you surprised at this point in the fourth quarter of '18, that the contribution of comp from Black Card pricing is, I mean, if I heard it correctly, is still up 300 basis points, because that would assume some very large churn in the Black Card Member base year-over-year, if the legacy members are still locked in that that $19.99 original price point?
Dorvin Lively: Yes, John, it's Dorvin. You are right. That was the impact in Q3. I don't think it necessarily surprises us. I mean it's close to what we said back at the beginning of the year that we thought the impact could be and we’ve reported that each quarter. And then I mentioned, it's going to be call it 150 bps in 2019. Our attrition with respect to the two different memberships really hasn't changed in terms of that mix, in the last several years. When you go back and look at the data, because we get the question a lot, there's someone that’s paying the higher price churn at a faster rate, and then the $10 price point, that -- it's not. And any seasonality is pretty consistent across the memberships, but it's a matter of canceling out some members at the $19.99 and picking up slightly more the members at the $21.99. I mean, at the end of the day, that’s the math, but -- no, it really didn't surprise us.
John Ivankoe: Okay. And so that leads me into the next question and maybe the most important one is what your customer segmentation study is telling you about that churn? It did seem that one point, we were talking about maybe churn that was ticking down, but as you kind of have gone back and understanding at a more data driven level versus what you maybe have believed to be true, a little bit more anecdotally, what can the brand do at this point in terms of reducing churn? I mean at this point, and I guess, for a gym club membership like this, I mean, what do you think the optimal level of churn is, that you would like to achieve over time?
Dorvin Lively: I think the thing that I looked at which is interesting to me is, when we launched the premium consoles, for example, with the manufacturers and they had the Netflix, and the Hulu's and the Spotify's, it was an assumption that the members would have wanted that. And the interesting thing that we found is, they wanted more education around fitness and wellness and nutrition. And that they want to be able to collect their data back on their app, that -- which is kind of the -- [indiscernible] role we're going down to begin with that, they want to leave the gym and have their data there to be able to compare how they did last week or last month. And also challenges with their fellow and friend, Planet Fitness members to see how they stack up against their friends. So it's interesting that they really wanted more fitness component and not distraction, I guess is the way to put it from the fitness or exercise they were doing. So I think that was not what I --- what we expected to see. So now how we act on that, which you think if that's what they're into that should only help with their results longer term as opposed to watching TV. So that was probably good learnings.
John Ivankoe: And in terms of where you think churn level could be. I mean, are there any really distinct differences regionally, for example, that’s different in churn or maybe even on DMA or city basis where there really are differences or is that something that's a more common level across the system?
Dorvin Lively: It's very consistent across the system. There may be minor outliers, John, but you can go back and look at our business for several years and the trends are pretty consistent. I think it's because we are going after the 80% of the population. And I mean, people work out about the same number of times they’ve always worked out and we’ve people that will take off couple of weeks or take off a month and then they come back. So -- and we’ve talked about that publicly in the past that it's affordable and it allows for people to be able to do that and we are working out is not the highest priority amongst a lot of our members. And so it's family, it's kids activities and things like that, but we haven't seen a regional based issue, and we haven't seen anything in terms of any major trends looking back over the last three years or so.
John Ivankoe: Thank you.
Dorvin Lively: Thanks, John.
Chris Rondeau: Thanks, John.
Operator: Your next question comes from the line of Peter Keith of Piper Jaffray. Your line is open. Peter Keith of Piper Jaffray. Your line is open.
Peter Keith: Sorry about that. Thanks for taking my question and congrats on the great results, guys.
Chris Rondeau: Thanks, Peter.
Peter Keith: I wanted to follow-up on some of the technology oriented questions. Chris, could you help us understand maybe what the roadmap looks like with the app integration you are launching Version 1.0. Do we’ve to wait, maybe a full-year until 2.0 and we are going to wait a full-year to see how that plays out and see if you expand it. And following on it, is it just Black Card members that will be able to use the app and use the fitness collection data? Thank you.
Chris Rondeau: Sure. Yes, so 1.0 will not necessarily have that, but it gives us the opportunity to pipe in all that data. Our current app is a off the shelf, third-party app product that doesn't give us any flexibility, which is the reason why we had to move to a new platform here. But it really does give us the platform to be able to pipe in, anything we want to do. And I think that back to that customer segmentations and what they want data for and they want to track what they did and how they recommend with you tomorrow as well as a challenge their friends. So I think it's definitely what the app will do in the future as well, connect with the cardiovascular equipment and wearable. So right now, unlike your wearable that tracks steps, you get off a treadmill, it doesn't go anywhere it with anybody, it doesn't follow -- following, where it just goes away and disappear. So in time as the premium consoles and all that data collection works and we can pipe that back to the member makes lot of sense. It's not going to be first quarter, it will probably 2.0 or 3.0, but it gives us the ability. As well I think content, which is important in that education piece that we learned that they want to learn and they want content. So how we can pipe in that whether it's through a third-party partnership with a different brand, that's pipe in into them, so they get better experience whether it's in the club or outside the club. And that will be also interesting for us to see is that some of these equipments are three months old, because they're not working out because they’re doing something at home or running outside. So I think that's all good for us to be able to watch and monitored, so that we are providing value to the member and hopefully drive retention longer term.
Peter Keith: Okay. Thank you. Just make sure I understand or just to maybe put a little timing around it. The data collection for Version 2.0 or 3.0, do you see that as a 2019 event? And again, are you envisioning that would just before Black Card members, or is this for all members?
Chris Rondeau: Yes, Black Card members probably to begin with, but again, if we can show better retention, you can make a case that you open it up to everybody if it pushes enough, it's not just price that's actually driving [indiscernible] 10 years, but I would say 2019, I see longer term next two, three years. It depends on where it's coming from, because the cardio components stay longer, because it's only in 15 clubs today and it's going to be retrofitted over time. So -- but as far as wearable data is concerned or other app collection, the pipes into it could be sooner than the cardio piece.
Peter Keith: Okay. And maybe, then it's a good segue to the cardio piece on the new technology equipment. So it's 15 gyms right now. Is there a thought to then opening that up to all new gyms or allowing those that want to replace it at a faster rate begin to get some of that more advanced equipment?
Chris Rondeau: Yes, we are going to launch a next section, the next group of pilot clubs this year, later this year with what we learned about all that data collection and challenges and stuff and get rid of -- or spleen up against some of the other apps and Facebook and other things where they run it, that weren't getting any traction. So we are going to retool the interface that is on the cardio today and the new clubs going forward to see how that interaction is with the numbers. And then after that depending how that plays out would be, how do we start rolling it out to the system and/or retrofitting to the current cardio that we are selling today can be retrofitted. So you don't get to replace old treadmill, you just replace a screen. So that’s better -- it's what’s waiting for the re-equip timing.
Peter Keith: Okay. Thank you very much and good luck.
Chris Rondeau: Thanks, Peter.
Dorvin Lively: Thanks, Peter.
Operator: Your last question comes from the line of Dave King of Roth Capital. Your line is open.
Dave King: Thanks. Good afternoon guys. First on the high single-digit comp guidance. How should we think about the comp or just the corporate owned piece, if you can. And then with the growth in corporate owned Greenfields and acquired locations, what do you see as the optimum mix of system-wide revenue longer term?
Chris Rondeau: What was the last part of your question, Dave?
Dave King: With the growth in the corporate owned Greenfields and the acquired locations that you had over the last year or so, what do you see as the optimal mix of that longer term?
Chris Rondeau: Got it, got it. We don’t break out our guidance in terms of breakdown between franchise and corporate stores. I will go back to kind of the earlier question and then historically, our corporate same-store sales has always been lower because we have a much more mature fleet of stores. We opened four last year, it will be probably in that four or five this year. So a lot of it depends on timing and just back to my earlier comment on real estate and when deals come to fruition, but kind of in that five range. I think, five to six, four to six a year is probably where we would be at least, let's just say in the next call it, two, three years or so. We will -- we have the opportunity on a roll for when any of the transactions come about, and we usually look at it strategically does it fit within our existing current fleet synergies, geographical synergies etcetera. And I think if you go back and look what we've done, all the transactions we've done fit within that. So I don't know -- I doubt that we would get to a point where it's going to be a meaningful percentage change in total development, whether it's our own corporate store development or even an acquisition here or there just because our franchisees are building at such a faster rate than we are. So we are predominantly a franchise model. I think we will continue to be there in the near-term, albeit our corporate store segment is a significant driver of both our revenues and profits and a very important piece of our business, but it's, we don't look to really accelerate a faster growth of that than we’ve had in the past.
Dave King: Understood. I guess that last comment is the reason for the question. Just, it feels like with your opening more corporate owned stores even though it's small as a piece of the overall development, it feels like that could be a material driver of revenue in terms of comps. The fact that you can do a 9% comp there versus mid single digits historically, it feels like that could be driver going forward. But in terms of Chris, just question for you real quick. In terms of the New Year's promotion, any effect on sign ups versus prior years anything to share in terms of significant success of that this year, anything to share on California versus the New Year piece? Thanks.
Chris Rondeau: Yes, nothing really is surprising. I mean, constantly it's a big splash for us. I mean it's not really a call to action, per se, so it's hard to really directly tie membership sales that night to the New Year's Eve, but we continually to remain number one in unaided brand awareness and that started when we first did New Year's Eve and it's maintained at status of the sense. So I think it's a great splash for us to get all the highlight. I mean it's so many viewers, it blows the Super Bowl away and it's all us for four hours. So it's a great thing that we plan on doing hopefully for many years to come.
Dave King: Okay. Sounds great. Thanks for taking my question. Good luck with '19.
Chris Rondeau: Thanks, Dave.
Dorvin Lively: Thank you.
Operator: We have no further questions at this time. I will now turn the conference back over to the presenters.
Chris Rondeau: Well, thank you everybody for joining us today for our Q4 and 2018 year-end earnings. We had a great year, looking forward to continue this momentum in 2019 and a lot of good initiatives and learnings today in this past year from a customer segmentation member journey and technology that’s coming up in our app launch. So lot of good stuff happening and looking forward to 2019 in the first quarter earnings. Thank you.
Operator: This concludes today’s conference call. You may now disconnect.